Operator: Good morning and welcome to Sixth Street Specialty Lending, Inc.'s Fourth Quarter and Fiscal Year Ended December 31, 2020 Earnings Conference Call.  Before we begin today's call, I would like to remind our listeners that remarks made during the call may contain forward-looking statements. Statements other than statements of historical facts made during this call may constitute forward-looking statements and are not guarantees of future performance or results, and involve a number of risks and uncertainties.  Actual results may differ materially from those in the forward-looking statements as a result of a number of factors, including those described from time to time in Sixth Street Specialty Lending, Inc.'s filings with the Securities and Exchange Commission. The Company assumes no obligation to update any such forward-looking statements. 
Joshua Easterly: Thank you. Good morning everyone, and thank you for joining us. With me today is my partner and our President, Bo Stanley; and our CFO, Ian Simmonds. We hope that everyone and their loved ones are doing well.  On our Q4 earnings call a year ago, none of us could have predicted that we were on the precipice of a global pandemic that would claim over 2 million lives, shutter entire sectors of the global economy and drastically alter the cadence of our everyday lives.  In the context of a year that was fraught with complexity and uncertainty, our Q4 and full year results are a testament to both the groundwork we've laid over the years to address the constraints of our sector's business model as well as the commitment of our people at all levels of our organization.  After close yesterday, we reported fourth quarter and fiscal year financial results, which were consistent with the preliminary figures that we provided on January 25. Our Q4 net investment income and net income per share were $0.48 and $0.79, respectively. This resulted in a full year net investment income per share of $2.19 or return on equity of 13%, and a full year net income per share of $2.65 or a return on equity of 15.8%, our highest annual return since inception. Both our 2020 ROE on net income and our ROE on net investment income were above their respective average annual results since our IPO.  Despite ongoing earnings headwinds from LIBOR for most of our sector, our strong Q4 net investment income were supported by the LIBOR floors on our assets in connection with a lower cost of funding given our 100% floating rate liability structure. It was also supported by another quarter of robust fee income and portfolio activity. The difference between this quarter's net investment income and net income were primarily driven by overall net gains, including net realized and unrealized gains from portfolio company-specific events and net unrealized gains from the impact of tightening credit spreads on the valuation of our debt investments. 
Robert Stanley: Thanks, Josh. I'd like to quickly share our thoughts on the market environment and how it has informed our originations activities over the course of this year. After the COVID-induced market shock in March, fiscal and monetary stimulus measures taken by the Fed and U.S. government led to a significant turnaround for risk assets. Strong investor demand for yield in a low rate environment, along with unprecedented fiscal stimulus to support COVID-impacted businesses and households, drove down risk premiums in both the equity and credit markets despite the prevailing uncertainty surrounding many parts of the U.S. economy.  In the leveraged loan market, LCD first lien spreads ended the year only 30 basis points wider than where it started, and second lien spreads actually tightened 144 basis points year-over-year. On an absolute basis, taking into account movements in LIBOR, the benefit of floors and the amortization of upfront fees, all-in returns for new-issue single B loans for the year ended 2020 were approximately 100 basis points tighter than they were a year prior. 
Ian Simmonds: Thank you. As Josh and Bo mentioned, this was a strong quarter from an earnings and originations perspective. In Q4, we generated net investment income per share of $0.48, which put our full year net investment income per share at $2.19. Our Q4 net income per share was $0.79, which put our full year net income per share at $2.65.  As discussed, excluding the $0.02 per share of capital gains incentive fee expenses that were accrued this quarter, our Q4 net investment income and net income per share were $0.50 and $0.81, respectively. At year-end, we had total investments of $2.3 billion, total debt outstanding of $1.1 billion, and net assets of $1.2 billion or $17.16 per share, which is prior to the impact of the supplemental and special dividends that were declared yesterday.  Following this quarter's net funding activity, our ending debt-to-equity ratio was 0.95x, up from 0.81x in the prior quarter. However, due to the quarter-end timing on a number of fundings, our average debt-to-equity ratio decreased from 0.93x to 0.87x quarter-over-quarter. For full year 2020, our average debt-to-equity ratio was 0.91x, on the low end of our previously stated target range of 0.90 to 1.25x, and up from an average of 0.84x in 2019.  As Josh shared earlier, our strong positioning at the beginning of 2020 on the right-hand side of our balance sheet plays an important role in our ability to drive strong outcomes for the year. At the beginning of 2021, we continued to follow our framework of systematically looking for ways to enhance our funding and liquidity profile. In late January, we capitalized on the attractive issuance environment in the investment-grade capital markets and issued $300 million of 2.5% 5.5-year unsecured notes, which to date represents the second-lowest coupon in the BDC sector.  Consistent with the rest of our fixed rate debt, we entered into a fixed-to-floating interest rate swap on the new notes. At a swap-adjusted spread that is only 3.5 basis points wider than the current drawn spread on our secured revolver funding, this funding mix shift is expected to have minimal drag on our ROE profile, while further enhancing our funding flexibility. In addition, in early February, with the ongoing support of our lending partners, we increased the commitments under our revolving credit facility from $1.335 billion to $1.485 billion, and extended the final maturity on $1.390 billion of these commitments, including the upsizes we received, by over a year to February 2026.  As a result, we believe our balance sheet has never been in better shape. Through these two transactions, we are positioned even better than we were a year ago to take advantage what the market may have to offer in the period ahead. To provide some numbers for context, pro forma for the new notes issuance and the revolver amend and extend, our year-end liquidity increased by over 50% to $1.3 billion of undrawn revolver capacity, representing over 55% of our year-end total assets and over 14x coverage of our unfunded commitments eligible to be drawn.  Our year-end unsecured funding mix increased from 58% to 84% on a pro forma basis, and our weighted average remaining life of debt funding increased by over 20% to 4.5 years, compared to a weighted average remaining life of investments funded with debt of only 2.5 years.  A quick note on our 2022 convertible notes, some of you may have noticed that our stock price has closed above the adjusted conversion price on our notes everyday so far in 2021. If the average share price of our stock for the period presented is greater than the adjusted conversion price, we are required to provide the calculation of diluted EPS. Since this could be relevant for our Q1 financial reporting, we wanted to provide some context in advance of that.  As you may know, if our 2022 notes are converted, we have the choice to pay or deliver, as the case may be, at our election: cash, shares of our common stock or a combination of cash and shares of our common stock. While these notes are not eligible for conversion today, this settlement flexibility gives us the opportunity to analyze the financial impact of alternative approaches in addressing the conversion of these notes, depending on the capital and liquidity needs of our business at that time.  Turning now to our presentation materials, Slide 9 is the NAV bridge for the quarter. Walking through the main drivers of this quarter's NAV growth, we added $0.48 per share from net investment income against our base dividend of $0.41 per share. There was a $0.23 per share reduction to NAV, primarily from the reversal of net unrealized gains on our Swift and Vertellus equity positions as we booked these gains as realized upon sale.  The impact of Q4 credit spread tightening on the valuation of our portfolio had a positive $0.16 per share impact, and there was a positive $0.40 per share impact from other changes in net realized and unrealized gains, primarily driven by portfolio company-specific events.  Moving on to our operating results detail on Slide 11. Total investment income for the fourth quarter was $62.2 million, compared to $71.3 million in the prior quarter. Breaking down the components of income, interest and dividend income was $52.7 million, down $1.2 million from Q3 due to the impact of heavier repayments earlier in the quarter and new fundings later in the quarter.  Other fees, which consist of prepayment fees and accelerated amortization of upfront fees from unscheduled paydowns, were $4.3 million compared to $9.3 million in the prior quarter when we had elevated fees related to Dye & Durham and the Neiman FILO. Likewise, other income, albeit robust at $5.2 million, was lower compared to the prior quarter given our elevated other income in Q3.  Net expenses, excluding this quarter's noncash accrual related to capital gains incentive fees, were $26.3 million, down $1.9 million from the prior quarter. This was primarily due to lower other operating expenses and lower cash incentive fee expenses.  Our funding cost in Q4 continued to benefit from the one-quarter timing lag on the LIBOR reset date on our interest rate swaps and the downward movement in LIBOR in Q3. The weighted average interest rate on our average debt outstanding decreased by approximately 10 basis points quarter-over-quarter. Since LIBOR remained relatively flat during Q4, we would not expect to see any rate-related impact in our cost of debt in our Q1 results.  Reviewing the unit economics of our business in 2020, in a year of heavy repayments, we generated robust fundings that allowed us to slightly increase our average financial leverage and we maintained our all-in asset-level yields despite headwinds from LIBOR. We also benefited from a lower cost of debt as a result of our floating rate liability structure.  These factors together drove an increase in our year-over-year ROE on net investment income from 12% to 13%. Further, net realized and unrealized gains on our investments and net unrealized gains on our interest rate swaps related to our 2022 and 2023 notes contributed to a record high ROE on net income of 15.8% for 2020, compared to 14.5% in 2019.  As we look ahead to 2021, based on our expectations for our net asset level yields, LIBOR, cost of funds and financial leverage, we expect to target a return on equity of 11.5% to 12%. Using our year-end book value per share of $15.86, which is adjusted to include the impact of our Q4 supplemental dividend and 2021 special dividend, this corresponds to a range of $1.82 to $1.90 for full year 2021 net investment income per share.  With that, I'd like to turn it back to Josh for concluding remarks.
Joshua Easterly: Thank you, Ian. I'd like to close our prepared remarks today by thanking our team for their efforts this year in our business' accomplishments in 2020. I also like to thank all of our stakeholders for their ongoing engagement and support. Maintaining your trust is very important to us, and hopefully through our series of public letters and frequent dialogue this past year, we've made apparent that timely and clear communication, both externally and internally, is a critical pillar of our business and our success.  Our focus for the year ahead is to continue to allocate capital in ways that generate top-tier results for our stakeholders and create value for our management teams and portfolio companies. We'll do this through continued assessment of appropriate investment themes based on the world around us, identifying opportunities within our existing ecosystems, and finding new ways to leverage the capabilities and relationships across the Sixth Street platform.  With that, thank you everybody for your time today. Operator, please open the line for questions.
Operator: . Our first question comes from Devin Ryan with JMP Securities.
Devin Ryan: So I appreciate all the detailed commentary and outlook. If I look at the current leverage levels, you're still at the lower end of your target range and you have your fairly significant liquidity in, obviously, what's a strong deal-making environment. So I'd just love to get a little more context around how you guys are thinking about leveraging portfolio growth over the next few quarters and how that kind of ties in with some of the outlook you just provided.
Joshua Easterly: Sure. Look, I think in the short term, we have a decently strong pipeline. And as you point out, we have a ton of liquidity given the capital rates on the right-hand side of the balance sheet, both the revolver extension and upsize and the bond issuance. I would say in this environment, given some of the sole kind of tail risk and uncertainty, it's unlikely that from a risk perspective, we will operate at the top end of our target leverage ratio. So I would not expect that. But just given the uncertainty, we think there could be some opportunities in the future to take advantage of some volatility.
Devin Ryan: Okay. Great. Then maybe just want to kind of follow in on that comment. With the really, obviously, tight spreads we're seeing here, but the strong deal flow, what are your expectations for syndication activity to generate additional fee income to essentially position and remain active but save some dry powder to potentially take advantage of when volatility does pick up and perhaps opportunities increase?
Joshua Easterly: Yes. Look, I think that most definitely we'll see some opportunities to generate some syndication fees. Ian those have ranged, what, between $0.02 and $0.04 a year, something like that, historically?
Ian Simmonds: Yes. Yes, it was only $0.01 last quarter.
Joshua Easterly: But on an annualized basis, what, like somewhere between $0.02 and $0.04?
Ian Simmonds: That's right.
Devin Ryan: Okay. So that's kind of the expectation then still going forward?
Joshua Easterly: Yes. And most definitely -- I think there will be most definitely opportunities. And look, I think with the broad-based Sixth Street platform, we clearly have the ability to move up markets and do big deals and provide certainty to our counterparties and management teams to allow them to take advantage of opportunities in their own business and -- for growth or M&A. So I think we always try to find the right balance of using exemptive relief for co-invest and generating syndication fees.
Operator: Our next question will come from Robert Dodd with Raymond James.
Robert Dodd: And congratulations on a really good year, not just the quarter, but in a pretty tough environment. A question more related to the liability side. I mean, Josh, now that you can borrow, frankly, unsecured at 2.5, I mean, swap it out, but at 2.5, does that change your appetite for moving down market? And by down market, I mean to lower coupon in terms of the types of deals, like you mentioned one of them, the software deal where you're doing some asset-backed on the working capital side.  I mean a lot of your IRR, frankly, doesn't come from the coupon anyway, it comes from the product differentiation of fees you can get. So if the coupon doesn't matter as much and your borrowing costs are moving even lower, is there an appetite for shifting kind of where the play is because you can still generate the ROEs, or even higher ROEs, even with lower coupons given that's not where a lot of your income comes from?
Joshua Easterly: Yes. So look, I think I'll have two comments. We actually think about the world for better or worse on an unlevered basis. You kind of -- you can get your - specialty finance companies and lenders and banks, and everybody kind of gets themselves into trouble if they lose the forest for the trees and they just focus on marginal unit economics. Because anything is, quite frankly, accretive on a marginal basis if you just look at your cost of financing and layer in your -- where you sit on the cost curve, which includes fees and incentive fees. That might not mean that you're getting paid enough to take that credit risk.  And so I think it's the finding the balance between understanding your unit economics and your marginal unit economics in your business and also finding -- making sure you're making good investments on an unlevered basis that -- where you're getting paid enough spread or enough economics to cover default risks and probability of loss. And that your -- there's relative value and you're providing value to your shareholders for the economics they pay you.  And so I think the answer is a qualified yes, which is you kind of got to look at the entire ecosystem and find the right balance between making sure you're providing relative value based on where you sit on the cost curve, make sure the economics may work on the cost of equity, but also looking on an unlevered basis the investments you're making and make sure they make sense given the underlying risk you're taking.
Robert Dodd: I appreciate that. Kind of tied to this. On the -- and I think it was a follow -- I can't remember, the software company where you did the differentiated product. I mean you talked about the loan plus the asset-backed component of it. Is there increasing or decreasing demand for that kind of product set right now? Given, I mean, the market is -- the lending markets, to exaggerate, is almost willing to give away money at this point, so are those nuanced products -- is there increasing demand? Or is that actually dropping off as we head into '21 given the easy lending terms elsewhere in the market?
Joshua Easterly: Yes. Look, I think this quarter, I think 60% of our origination -- Ian, correct me if I'm wrong, and Bo, was nonsponsored and 40% sponsored. So look, there are still those opportunities outside the sponsor lane to find -- to provide certainty and to provide solutions for companies that we think are good companies or good assets and that we could also make loans for our shareholders to find that balance between providing value to our issuers and value to our shareholders. And that was -- I think there's still that opportunity. And when we look at our pipeline, there are some of that in our pipeline for sure.  But most definitely, the -- just to hit on it, the -- there has been a large push -- and this is not just in any market, so all risk assets are tighter. And so there still, I think you can say, is relative value in credit. But like if you look at earnings yields for the S&P, if you look at credit spreads, all risk assets are tighter. And I think that's been by design by policymakers.  I think the big watch out -- not to get into politics, but the big watch out is that the easing policy by the Fed does -- has contributed to inequities. And I'm not sure I have a good answer to how to solve this because it also supports the economy. But people who own assets do well, and people who don't own assets don't do well. And so you kind of end up with a situation where we had post-global financial crisis, which is populism from the right and populism from the left. And it's -- you can kind of see history repeat itself pretty quickly given the policy moves post -- in COVID where, unfortunately, I think we're going to be in a period where we're going to have both those forces from the right and the left given the unintended consequences of the Fed policy.
Operator: And our next question will come from Finian O'Shea with Wells Fargo Securities.
Jordan Wathen: This is actually Jordan Wathen calling in today for Finian O'Shea. Just keep it real short and simple here. I know you don't have a lot of latitude to speak about in individual portfolio companies. But when we're looking at, looks like DaySmart was refined in December, the revolver commit went away. We were really just wondering, the disclosure says that maybe first lien last out loan now. So we were really wondering if you could just give us some kind of a framework, I guess, on how this loan -- how loans like this, not necessarily this one, but how loans like this become first lien last out. Is that you inherit another bank with an acquisition, something like that?
Joshua Easterly: Yes. I think, Bo, remind me on DaySmart, I think they -- we brought in a bank on an acquisition.
Robert Stanley: Correct. There was M&A activity that increased the size of the -- and scale of the business. And at that point, we brought in a bank to lay out some revolver exposure into a small amount of the term.
Jordan Wathen: Okay. And so that's -- when we see something like that, that's what we should assume just in a general sense?
Joshua Easterly: Well, I won't tell you what my father said about assuming, but feel free to ask us.
Operator: Our next question will come from Ryan Lynch with KBW.
Ryan Lynch: Congrats on a really great 2020. I have just a couple of questions. One, just talking about your liability structure. Obviously, you guys priced some really attractive notes, 2.5% fixed rate that you guys swapped out to L plus 1.91%. I'm just curious, can you talk about why you guys then made the decision to expand your revolver given that, as you mentioned in the prepared comments, you guys are issuing unsecured debt which has a lot more flexibility at basically the same price as the revolver? So why did you guys then extend out the revolver? Number one.  And on that point, would you guys think about changing the composition of your liability structure now that you can price debt at, again, the same price -- unsecured debt at the same price as your revolver? Would you look to add more unsecured debt as a percentage of your liability structure?
Joshua Easterly: Yes. So first of all, I don't know if we can add any more unsecured debt, quite frankly. I think it's, Ian, at year-end, it was I think most of our capital structure, right?
Ian Simmonds: Yes. Yes, 85% pro forma.
Joshua Easterly: Yes. So effectively, you -- well, look, if the business grows, there'll most definitely be an opportunity. I think there's a couple of different strategies to this one. One is the unsecured market for BDCs have been fickle, to say the least, over the years. I think it's actually taken a direction for the better, which is it feels more stable, it feels like that market is more accessible, and it feels like that market is kind of more accessible and more steady over time. So I think that's a good thing for the industry. And quite frankly, I think there's still value to be had if you look on a ratings basis and a spreads basis for investors that keep supporting the industry.  The second thing is -- you asked a good question. Look, I think the revolver market has also been a little bit fickle for BDCs over time and for the sector over time. And the one lesson you've learned is, if you look at COVID, is the -- that the cost of insurance of having liquidity during moments of volatility more than enough pays for itself. And so we are most definitely incurring the cost by having -- that cost is relatively small given commitment fees and unused line fees. But that is effectively insurance and allows us to participate in times where capital isn't available and because there's correlation between when there's great opportunities, capital isn't available. And so we're paying for that option to participate.  And when you look at our history in 2020, we drove -- I think, Ian, you have the numbers, $0.30 to $0.40 of value on a per share basis through activity levels when -- in a risk-off environment because we had made that investment and bought that insurance and that optional liquidity. Does that make sense to you?
Ryan Lynch: Yes. Yes.
Joshua Easterly: I mean that is -- and quite frankly, I think as not only an owner of TSLX itself, but as a -- as the manager or the steward of the capital -- or shareholder capital, you got a burden or you should burn in your unit economics because you can't run the model so tight where you don't pay for an insurance, i.e., the option on liquidity. You don't -- you run it at max leverage, you just -- the business model given the regulatory constraints, the mark-to-market and the correlation between risk-off environments and no capital available, you just -- you have to bake in those costs to fully burden your -- in your unit economics to think about the business across the cycle.
Ryan Lynch: Yes. That makes sense. And then my follow-up would be, you gave some good color on the market. A couple of questions on just what you guys are seeing in the market. You mentioned this quarter about most of your originations were focusing on like mission-critical software businesses. Obviously, that's a very competitive space. I mean most direct lenders want to be in that space. So how are you guys still finding good opportunities in that space? And I think you mentioned maybe 60% of your originations were not sponsored. So maybe you guys are now focusing more on the nonsponsored route.  And then as a kind of a side question to that, can you talk about -- obviously, competitions return to the sponsored-backed areas kind of basically the pre-COVID levels. Can you talk about what competition looks like and deal terms and structures are looking like in some of the niche businesses or the niche strategies you guys focus on, like ABL, pharma, health care, those sort of businesses?
Joshua Easterly: Yes. So look, I think this quarter most definitely was an anomaly on the nonsponsored side between J.C. Penney's, which we're involved in, and Follett, which is a great family-owned business, which is a half software business and half retail business effectively operating bookstores on college campuses, that was a decent amount of our activity levels.  But we'll continue to be active in the business services software. And look, we have a great -- I think a great reputation of providing -- given that we're deep in those sectors, providing certainty in being a reliable counterparty and being a good counterparty in that space. Bo, do you have anything to add on that front?
Robert Stanley: No. Look, I think we have a 20-plus year history in the technology and software space and allows us to be very thematic in our approach to the market. That thematic approach, we're able to find deals, both within and outside of the sponsor network where we're specialized and we can differentiate our capital. We'll continue to do that.  As Josh mentioned, look, we're in a historically tight spread environment. And we continue to point to overcapacity in the direct lending market. And to us, that means you focus on your lanes and continue to focus on your thematic approach. And I think the ability to originate both in and out of the sponsor network is a competitive advantage.
Operator: . Our next question will come from Melissa Wedel from JPMorgan.
Melissa Wedel: Wondering if the return of pretty elevated competition in the market has impacted either the level or structure of some of the fees and prepayment penalties that you guys typically layer in these deals that you do?
Joshua Easterly: Yes. I would say, look, again, I think being thematic and being able to do small deals and large deals, I don't think has mass changed the economics of our business. That being said, we're not immune to competition. And so -- but I think just being -- having the relatively small capital base and -- for Sixth Street Specialty Lending have -- being able to do small deals and big deals, that provides us a lot of degrees of freedom and being thematic provides a lot of degrees of freedom to continue to find good value for our shareholders and while delivering excellent value, including certainty to our counterparties. Bo or Fishy, anything to add? I'm just trying to get Fishy involved here.
Michael Fishman: No. I mean I'd reiterate what Josh said as far as the size of our capital base allows us to not have to necessarily be a market flow-oriented player. So we see a lot of opportunities and can find the most interesting risk return opportunities to do.
Melissa Wedel: Okay. Got it. And then on the repayment side, what's your outlook for repayment activity going forward? I mean do you think that -- well, I guess, generally -- general market commentary but then also specific to your portfolio, do you feel like you've seen the repayment activity that you're likely to see? Or as long as this environment persists, do you think there's more room for that?
Joshua Easterly: I mean it feels -- Ian, you should comment on that. It feels less in Q1. But Ian, you should comment on that.
Ian Simmonds: Yes. I mean, I think just as a byproduct of having a lot more origination activity in the second half of the year, our portfolio is a little bit younger as we start this year. So anticipating a slight drop-off in repayment is probably a natural consequence of that cycle. I think that's ignoring, of course, any individual company-specific needs.
Joshua Easterly: There's this economic hedge in the model, which is like given that we don't -- given that on the -- there's not -- we take -- we defer our origination fees. So when there's high prepayments, we lose the benefit of financial leverage vis-à-vis our economics, but we do have the accretion of OID -- of unamortized OID that runs the model. And then in low prepayment environments, you get some benefit from financial leverage. So there's a natural kind of hedge to the economics.
Operator: Thank you. And I'm showing no further questions in the queue at this time. I'll turn the call back over to management for any further remarks.
Joshua Easterly: Great. So I have two general comments or two general things that maybe touch on a little quick. Look, people have probably seen the -- as people know, Sixth Street is a parent company of Adviser, and so they've probably seen the litigation. And given it's the litigation, there's a limit to what we can say, but I wanted to be transparent about it.  So Sixth Street accepted a strategic investment from Dyal back in 2017. And in December, Dyal announced a merger with Owl Rock to go public with after it was back. We recently filed a litigation in Delaware to enjoin Dyal from transferring their interest in Sixth Street to the merge entity without our consent, which is a breach of our 2017 agreement. A public version of this complaint is going to become available sometime today, if it isn't already.  A few things to be clear on. First and foremost, we're in the partnership business and we take our partnership obligation seriously. We honor our deals and expect our partners will, too. In this case, Dyal didn't. In 20 years of business at Goldman Sachs and at Sixth Street, we know what is -- we know what it means to be a business partner, and it means sticking to your agreement. If we didn't do that, we didn't -- and didn't have a reputation for doing so, we wouldn't have been able to do this for so long and we wouldn't have been able to build a $50 billion investment firm.  Number two, we entered into a partnership with Dyal. And they told us verbally and in writing and said so publicly that we are partners and not competitors, and we believed them. That's what's in our agreement, and now they're breaching it. They negotiated very limited exceptions, which our complaint outlines, but were intended only to provide liquidity to their underlying fund LPs, which isn't happening here.  We really don't want to have to file a lawsuit. But no matter how often people might -- how often -- no matter how others might choose to act, our core principle is that we're always going to act in the best interest of our investors. Dyal deserted our partnership and their lack of engagement with us before or after announcing the proposed merger put us in a position where we had no choice.  And finally, our dispute is directly with Dyal and not with Owl Rock. We have known the principles of Owl Rock for many years, and we have a great deal of respect for their firm as a peer and a competitor. Other than the fact that they are parties to the transaction with Dyal, Sixth Street has no issues with Owl Rock on this. That's it, again, on the complaint, is it will be, I think, public today. And given the litigation process, we have a limit to say -- limit on things to say.  The second thing I would like to say is that this -- obviously, this is Black History Month and next month is Women's History Month, and I know us as a firm we spend a lot of time thinking and talking to our people about our history and the good and the bad of our history. And the -- hopefully, as we will in our firm, people will take some time and think about not only our history, but actually the collective contributions of both these groups to our society, because there's been a ton. And so hopefully, people will use the time for that.  And then the last thing I will say, because we always end this way, which is I hope people enjoy the spring. Hopefully, it's an easier spring than last spring. Easter coming up. Passover coming up. And we'll talk to you soon. Thanks so much.
Robert Stanley: Thanks, everyone.
Ian Simmonds: Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.